Jon Harris: Hello, and thank you for joining Gulf Keystone’s 2021 Full Year Results Presentation. I’m joined today by Ian Weatherdon, Chief Financial Officer, who will be taking you through our financial performance. I’m also joined by Gabriel Papineau-Legris., Chief Commercial Officer; and Aaron Clark, Head of Investor Relations. We will run through the presentation slides before opening the line up for questions. Next slide. Before I start, I’d like to remind you that the presentation slides are available to view on our website. And also Slide 2 is our legal disclaimer, which I will leave you to review in your own time. Next slide, please. We are pleased to report a strong operational and financial performance underpinned by continuous focus on safety and sustainability. Our leverage to the recovery in oil prices, combined with a 19% increase in gross production towards the upper end of our guidance range and continued cost and capital discipline, has enabled us to generate record adjusted EBITDA and significant free cash flow. We were disappointed to record a lost time incident in October after working for almost two years without an incident. We are committed to continuous learning, and we have now been operating for over 160 days without a further LTI. We also made good progress in the year on enhancing our ESG performance as our Board approved our sustainability strategy and roadmap. Our mantra at Gulf Keystone is balancing invest – balancing investment in sustainable growth and – with shareholder returns. And I’m pleased to say we continue to deliver against this strategic commitment. Regarding growth, we brought two new wells online in 2021, Shaikan 13 and Shaikan 14 and spudded a third Shaikan 15 in early 2022. We also submitted a draft Field Development Plan to the MNR in November, which we are today providing an interim update on. Regarding returns, we distributed $100 million of dividends in 2021. And I’ve already paid a further $50 million of dividends since the beginning of 2022. Today, we are declaring additional dividends for 2022 of $90 million, comprising a $25 million annual ordinary dividend and a $65 million interim dividend. I’d now like to explore in more detail our sustainability performance and strategy before looking at our operational performance and plans for future growth. Next slide, please. The safety and sustainability of our business and enhancing our performance is a strategic priority for Gulf Keystone. We were pleased in the year to obtain Board approval for our sustainability strategy and for a roadmap, which we are using to guide our delivery. Our strategy is underpinned by several priorities, which we have developed based on a materiality assessment exercise. We continue to make strides in executing our strategy in 2021. We submitted the draft FDP to the MNR, which includes a gas management plan, targeting to eliminate routine flaring. This plan underpins our goal of more than halving Scope 1 and Scope 2 emissions intensity by 2025. And we’re exploring other projects to further reduce our Scope 1 and Scope 2 emissions intensity beyond the 2025 targets. As is the case every year, we continue to prioritize and focus on HSE improvements building on our already strong HSE culture. We also continue to make significant social and economic contribution to Kurdistan through grew local employment, investment in the local supply chain, supporting local community projects and generating $356 million for the benefit of the Kurdistan Regional Government. As ever, a commitment to robust corporate governance and compliance as well as high standards of business ethics guide is our activity. We were pleased to see MSCI ESG research increase their rating from BB to A in September, driven by our emissions targets. We also look forward to providing you with more detail on our sustainability performance in our 2021 annual report that we plan to release in May. Turning now to our production performance in next slide. Gross average production increased 19% to 43,440 barrels of oil per day in 2021 towards the upper end of our guidance range and the third consecutive year of production growth. Since the beginning of the year, gross average production has increased further to around 45,500 barrels of oil per day. The contribution of Shaikan 13 and 14 underpin the production increase in January to around 46,100 barrels of oil per day and a new gross daily production record of just over 50,000 barrels of oil per day. Following the early appearance of trace water quantities in Shaikan 12 in January, the well has been shut in and is responsible for the subsequent decline in production. We are planning to run diagnostics on the well to investigate options to maximize near-term production. As water ingress is common in fractured carbonate reservoirs, we have always expected to install water handling to facilitate wet oil production and we continue to expedite our plans. Following acid stimulations, currently, Shaikan 13 production is in line with expectations, while we continue to explore options to further increase Shaikan 14 production. Looking ahead to the remainder of the year, we are focused on delivering 2022 production guidance of between 44,000 to 50,000 barrels of oil per day. This reflects the anticipated production contribution from Shaikan 15 and the benefits of well intervention and workover activities. Next slide. We were pleased in February to hit the significant milestone of 100 million barrels of gross production from the Shaikan Field since inception. Looking ahead, we see a significant growth opportunity from the fields substantial gross reserves and resources, which are estimated at around 780 million barrels of oil following 2021 production. Our focus through the draft FDP, which I will talk about shortly, is the address – is to address this opportunity by ramping up production from the Jurassic reservoir, which has been our production focus to date, and by testing the Triassic reservoirs, which is estimated to contain around 157 million barrels of gross to sea resources. Now turning to our 2022 work program. Next slide. We are currently planning to invest between $85 million to $95 million in 2022. This includes several components: drilling and completing Shaikan 15, targeting online in the second quarter; well interventions and workovers to optimize production; constructing well pads and installing flow lines to prepare for a continuous drilling program ahead of the FDP approval; and lastly, preparing for the expansion of our production facilities to include water handling. We progress on – with progress on the FDP, we plan to resume drilling activity and update our capital guidance this year. Turning now to the draft FDP. Next slide. We were pleased to submit the draft Field Development Plan to the MNR in November last year. As a result of positive progress with the MNR, we are today pleased to provide an interim update on the plan and an overview of scope, timing and costs. While details may vary as we continue to optimize the Field Development Plan and the timing of approval remains uncertain, we are targeting a significant ramp-up in profitable production or simultaneously transforming our carbon intensity. As a result of a series of optimizations, we are now targeting to increase Phase 1 gross plateau production by 10,000 barrels of oil per day to between 85,000 to 95,000 barrels of oil a day. The higher plateau production results in an increase of total Phase 1 gross CapEx of around $160 million from the prior FDP now estimated at $800 million to $925 million. Phase 1 is comprised of up to 85,000 barrels of oil per day from the Jurassic reservoir and up to 10,000 barrels a day from the Triassic reservoirs. Currently, we are – we will implement a Gas Management Plan – sorry, concurrently, we will implement a Gas Management Plan to eliminate routine flaring through gas reinjection underpinning our target of more than halving Scope 1 and Scope 2 emissions intensity by 2025. The scope of the Gas Management Plan has evolved from sweetening the associated gas for export and recovering elemental sulfur to reinjecting the gas. The recent reprocessing of seismic data further studies and analyzing additional well data, production data confirms the feasibility of reinjecting gas into the reservoir. We expect the Phase 1 Jurassic and Triassic projects to take between 36 to 42 months from FDP approval, while the expected duration of the Gas Management Plan is 18 to 24 months from approval. While our focus is on delivering Phase 1, we’re also committed to exploiting the further potential of the field with a vision of increasing production above 95,000 barrels of oil per day through the expansion of the Triassic reservoirs and the Cretaceous reservoir pilot. We believe the FDP is a tremendous opportunity to create value for all our stakeholders, and particularly our investors and the people of Kurdistan. I look forward to providing you with more detail upon approval. With that, I now hand you over to Ian for the financial review.
Ian Weatherdon: Thanks, Jon. Now on Slide 11, I’d like to place the strength of our 2021 results into historical context. Over the last few years, we have focused on building a strong foundation enabled us to navigate through economic downturns and quickly capitalize on improving conditions. This is evident in looking at the step change in EBITDA, profit and shareholders distributions from 2020 to 2021. The Shaikan Field has significant production potential. With consecutive increases in production over the last three years and a relentless focus on costs, the business generates significant cash flow with leveraged oil prices. This enables us to balance sustainable growth with shareholder returns. We appreciate that shareholder returns are becoming increasingly more important and remain committed to striking the right balance between growth and returns going forward. Next slide. Adjusted EBITDA, a common measure of cash flow, increased almost fourfold in 2021 to a record $223 million. This was driven by a 19% increase in gross production to 43,440 barrels per day, and our strong leverage the recovery and oil prices, with a realized price for our crude oil sales more than doubling to $50 a barrel. Operating costs were up with increased production and completion of deferred activities from 2020. On a unit basis, gross OpEx was 270 a barrel. Also share option expense reduced EBITDA by $7 million, due principally to the exercise of options under the legacy value creation plan. Next slide. The strong increase in adjusted EBITDA underpinned strong cash flow generation in the year. Net CapEx was $51 million, including Shaikan 13 and Shaikan 14 drilling and completion activities and the debottlenecking of PF-2. Working capital reduced cash flow by about $40 million, driven by higher oil prices and increasingly delayed KRG payments, despite the continued collection of arrears. This was partially offset by increased accounts payable. In 2021, we generated $122 million of free cash flow, enabling us to distribute $100 million of dividends in 2021. Next slide. We remain focused on strictly controlling our costs. Gross OpEx per barrel increased slightly in the year to 270 a barrel from 260 a barrel and was in the middle of our 250 to 290 per barrel guidance range. Higher operating costs due to increased activity were substantially offset by higher production. Other G&A expenses were up slightly, also due to increased operational activity. Next slide. In 2021, we received net $222 million from the KRG, including payments for both crude oil sales and arrears. Since the beginning of 2022, we have received an additional $106 million for the September to November 2021 invoices. To date, we have collected over 70% of the original $73 million net arrears balance with an outstanding balance now standing at $22 million. We are currently awaiting payment for the December 2021 crude oil sales and arrears and we’ll update the market on receipt. Next slide. Maintaining a robust balance sheet is a strategic priority for Gulf Keystone. Financial strength provides us with resilience through the commodity cycle and the flexibility we need to execute our strategy. At current oil prices, our low cost structure and focus on capital discipline underpin significant cash generation. As at the 29th of March, we had around $183 million of cash in the bank and $100 million of debt that does not mature until mid-2023. We have a track record of maintaining a net cash position, which enables us to develop the Shaikan Field and manage potential downside risks. We are mindful of the evolving situations regarding the recent Iraqi Supreme Court ruling on the constitutional basis of the Kurdistan Oil and Gas Law and the potential sanctions implications, resulting from the Russian invasion of Ukraine. While we have seen no impact on our business, we are closely monitoring the situations. The payment of dividends on the right partly explains the slight decline in our equity ratio since 2018. That said, the ratio remains robust and well above our bond covenants. While we’ve used hedging in the past to manage periods of extreme volatility, we do not currently have a program in place, given the strong outlook for oil prices and a flexible spending program. However, we see hedging as a useful tool, and we’ll continue to monitor the environment and our future spending profile and adjust our approach as necessary. Turning now to shareholder distributions on the next slide. We are very pleased today to declare additional dividends of $90 million, further demonstrating our commitment to balance investment and growth and returns to shareholders. The declared dividends are comprised of a $25 million 2021 annual ordinary dividend, which will be proposed to shareholders at our upcoming AGM in June and a $65 million interim dividend, which we plan to pay on the 13th of 2022. Today’s announcement takes total dividends declared in 2022 to $140 million acquired into a pro forma yield of 2020 of 22% based on yesterday’s closing share price. In aggregate, the company has declared total distributions of $340 million since 2019. Assuming timely payment of invoices and continuing strong oil prices, we are expecting strong cash flow generation in 2022. This would provide flexibility to fund a potential increase in CapEx with progress on the FDP and the opportunity for further distributions to shareholders. With that, I’ll now hand it back to you, John.
Jon Harris: Thanks, Ian. Following a strong year of operational and financial delivery, we have another important year ahead of us. We remain focused on delivering our production guidance, maintaining strict control of our costs, and continuing to invest in the field position for future growth. We are executing our sustainability strategy and we maintain our focus on safe operations continue to generate significant economic value for Kurdistan and explore other projects to further reduce our emissions. Sustainable growth includes bringing Shaikan 15 online and preparing for FDP activity as we continue to seek approval from the MNR. With further progress on the FDP, we expect to resume drilling and increased 2022 capital guidance. As we have outlined today, the price for Gulf Keystone and our stakeholders is enormous, with an opportunity to drive further production growth while transforming our carbon intensity. At the same time, we remain committed to balancing investment in growth, the shareholder returns. And I’m pleased we are continuing to develop our track record with the additional $90 million dividends we have declared today, taking 2022 declared dividends to $140 million. With that, I now hand back to the operator for questions. Thank you.
Operator: Thank you.  We will take our first question today from Werner Riding of Peel Hunt. Please go ahead.
Werner Riding: Good morning. Thanks, guys. I mean, just on the FDP, you mentioned in the statement this morning, further progress is required ahead of approval from the MNR. So I’m just interested to hear what feedback you’ve received so far from them, and what your understanding is of the current status of the approval process? Just to try and understand really what’s outstanding or what gaps need to be closed between your thinking and theirs before they can approve it?
Jon Harris: Yeah, thanks, Werner. Well, we continue to have good dialogue with them and get good feedback from them. And essentially, we’re kind of honing in on scope and costs and budgets. And of course, you’ll understand we need to agree that before we can continue.
Ian Weatherdon: I think, Werner, as you can appreciate, and as you can see today, we are providing the the outline for the FDP going forward with some very concrete details around, timeframes around an increase in our production level. And what we need to do is further progress. And at this stage, the discussions are progressing, and we prefer not to provide particular details beyond that just to maintain the commercial sensitivity of the negotiations.
Werner Riding: Okay. I’ll try something else if that’s okay. Then on Russian sanctions, you mentioned the possibility of impact on your business, the most visible, indirect link I can see is via Rosneft as a joint owner of your export pipeline. And so could you perhaps talk about what considerations you’ve given to this and how any potential disruption could manifest itself? And what mitigants could there be? Thank you.
Jon Harris: Yeah, certainly. Obviously, currently, sanctions aren’t affecting our business. We have obviously looked at what might happen if those sanctions do come into effect. Obviously, it’s not completely our choice, because it’s a partnership with Kurdish government, and we would work with them to provide a solution for you. I mean, previously, that we didn’t have a pipeline and we used to track our crews. And that is one possible solution for us if this was not – it was not possible to use – continue to use the pipeline. But we’re confident that we can work through any solution to maintain production with the Kurdish government.
Werner Riding: Okay, thanks. Am I right in thinking that it’s not the only potential for the indirect consequence or impact could come from you are referring to the Rosneft JV on the pipeline? Is that what I’m – am I right in thinking that?
Jon Harris: Right. Yes, we’ve done a review of our business in terms of other impacts, such as drilling equipment and the like and operational equipment. And actually, we’re not exposed to Russia. We don’t believe we’re exposed to Russian companies. That review showed there was little or no engagement with Russian companies.
Werner Riding: Okay. All right. Thank you.
Operator: We will take our next question from Charlie Sharp of Canaccord. Please go ahead.
Charlie Sharp: Yes. Good morning, everybody. Thank you very much for the presentation. Two questions, or 2.5 questions maybe, if I may. Firstly, could you remind me of the reserves and resources split between Jurassic and Triassic reservoirs? Secondly, on water handling, I think you gave an indication in the presentation that you’re expediting plans. Could you put a little more detail onto that and give us some indication of where you are in the process? And perhaps, what the year-end water handling capacity would be? And then finally, just on the $100 million notes maturing in July next year, what are your thoughts on extending that refinancing at all, or just simply repaying? Thank you.
Jon Harris: Charlie, thanks very much. So I think your first question was on the resources split between Jurassic and Triassic. I think what I’ll refer you to Slide 7, but and also give you the numbers. So essentially, as we’ve got up 2P resource in the Jurassic, we have around 490 million stockpiling barrels. And then from a 2C perspective, we have 80 million barrels in the Jurassic, plus 157 in the Triassic. So if you have any more questions on that, I’ll move on to water handling capacity. I mean, currently, we have very little ability to handle water. That’s today. We’ve always had plans and we’re in the process of installing as part of the plans to expand capacity. We’re looking at installing the water handling. We’re expediting that at the moment. I think at the end of the year, it’s unlikely that we will have any, but we intend – we hope to have some next year, which will allow us to deal with substantial quantities of water. But we’re not expecting that that’s progressive increase in water production over the life of the field, which we’ve always modeled. It’s just that we – it was just a little earlier than we expected on one of our wells. And the last one about the 100 million notes, I’ll hand over to Ian to answer.
Ian Weatherdon: Thanks, Jon. Yeah. So when we think about the financing strategy, we have to really step back and think about the FDP. Ultimately, the first step is around the funding commitments going forward. And we’ve talked broadly about the total capital commitments for Phase 1. As we progress, we’ll potentially refine that. And of course, a key driver to funding will be around timing as we progress towards approval. The great thing about where we sit today, we have significant financial strength. And if you look at the balance sheet capacity, we have significant capacity on the balance sheet to fund the FDP, and that’s against the backdrop as well as very strong oil prices. So to a large extent, the FDP probably could be self funded. But we do have that flexibility in terms of debt as well. So we will continue to monitor the markets. We’ll look at different options. Of course, the Nordic bond market has been tried and true for Gulf Keystone, and actually, more recently, almost all of the Kurdish peers. So that’s a very good market, and relative to our cost of equity. And albeit the coupon is higher, it’s much, much more affordable than our cost of equity. So as we march forward, we will continue to think about debt financing options and those debt financing options will not only allow us to fund the FDP, but also provide flexibility to continue with distributions through the investment phase.
Charlie Sharp: Thank you very much. Thank you.
Operator:  Our next question comes from Teodor Nilsen of SpareBank 1 Markets. Please go ahead.
Teodor Sveen-Nilsen: Good morning, guys, and thanks for taking my questions and congrats on a strong full year results. I have three questions for me, if I may. Firstly, just on KRG public expenses. I want to know about which tax level right now also, then they seem  in the light of the minor payment irregularities and . Second question, what is your preference of dividends – cash dividends versus buybacks? Just some general comments would there be useful how you think around that? And my third question is just to confirm, did you say that you expect sort of slumps from the P approval until you will be able to reach 85,000 barrels per day? Any clarification will be useful? Thank you.
Jon Harris: Sorry, to the last question, could you just repeat it, please? We didn’t – you broke up a bit.
Teodor Sveen-Nilsen: Yes, sir. Can you confirm that you said you expect sort of six months from FDP approval until the level of 85,000 barrels per day? Or did I misunderstand that those 36 months?
Jon Harris: Right. Okay. Thanks. Yeah, happy to speak about the dividends and the buybacks. It’s a discussion that we have at the Board on an ongoing basis when we think about distributions and we do think about all of the different options, whether it be a dividend or whether it be a share buyback. And as you can see, we’ve used both tools in the past. Dividends have certain options of benefits and also share buybacks have had certain benefits to them. When you think about a dividend, particularly when we’re thinking about a dividend in terms of the size that we have, given the cash generation, it’s much easier to pay a dividend relative to share buybacks. If you look at the liquidity in the stock, it would take a significant period of time for us to return the $65 million interim dividend back to shareholders. And it has also the impact. If you do share buybacks in large-scale, we’ll have to think about future liquidity in the stock. That being said, share buybacks are a great tool because you can implement it opportunistically. They have a long term benefit to shareholders. So notwithstanding the high share price that we currently sit today, still well below analysts’ expectations. We’ll continue to consider share buybacks and also dividends as we march forward.
Ian Weatherdon: Yeah, I think, Teodor, you had two other questions and one was about KRG public expenses. And I mean, we can’t really comment on how the KRG spending its money and its ability to pay us. So we’re not really going to answer that, other than we have seen regular payments for our invoices, albeit, they are just over the contract period. So they’re late. But I think that’s what we would really say about that and we don’t anticipate that changing in the near-term. I think on your last question is, yes, it’s – I think I gave a range of 36 months to 42 months, following approval of the FDP that we would get to the capacity of 85,000 to 95,000 barrels a day. And there is a range because the Triassic reservoirs, that is a pilot or a test. And we’re unsure about how they’re going to perform until we actually get into production. So the expectation is 10,000 barrels a day, up 10,000 barrels a day from the Triassic, but we don’t know until we actually start producing those ones.
Teodor Sveen-Nilsen: Okay, thank you.
Ian Weatherdon: Thank you.
Teodor Sveen-Nilsen: Thanks.
Operator: We’ll take our next question from David Round of Stifel. Please go ahead.
David Round: Thanks, Good morning, guys. Can I start with the SH-13 well, please. I noticed that there was an update post the acid stimulation as well below expectations, but you’re now saying it’s in line. Could you just comment on what happened there? How much that was producing? Because I suppose I would have expected to see a bit more of a production impact to your overall number. Secondly, just a follow-up to Charlie’s water handling question. And looking at your CapEx budget for 2022, are you able to split that out for us at all, and perhaps quantify any water handling expense that is in there? And then maybe just finally, on the expansion, just to clarify that plan A is now we’re injecting the gas or maybe it always was. So correct me if I’m wrong, but I thought reinject in the gas was still unproven. So we’d appreciate any comments there.
Jon Harris: Sure, David, thanks. I think on Shaikan 13, I think when we gave the operational update, we had done the acid job, but it was cleaning – the world cleans up over time. And actually, what we’ve seen is it’s continued to clean up and now it’s producing within the range and. On our range for new wells, it’s between 4,000 to 6,000 barrels a day. So it’s within that range. Water handling a cost expenditure. It’s a small amount within the 85 to 95. And yeah, at this point in time, we are at two expressions of interest with contractors and also tendering a different solution. So we’ll be able to update that later in the year when we have those who have those answers. But from a budget perspective, it’s a small part of the 85 to 95. And gas reinjection note, well, originally, gas injection was the proposal back in 2018, or 2019, predates me, so forgive me if I forget the year wrong, but it was – that was the original. The last update previously we gave in last year’s annual report, we were talking about processing the gas, our gas was H2S and CO2 and it was sweetening that gas. So we take care of those components, and export the gas and then half the process of the sour gas through to elemental sulfur, which is quite a complex and difficult process. Since then, we’ve kind of reevaluated the reservoir or the performance of the reservoir and what we’re seeing. And also so now we’ve done some more modeling and some studies, and now we believe that there’s – there isn’t an issue with reinjecting the gas into the reservoir. So it is – we have changed concepts since the last time and we are looking at rejecting the gas again as the preferred solution. Well, that’s what’s in the Field Development Plan that’s been proposed. In fact, we’re out tendering that solution as we speak as well.
David Round: Okay. Two quick follow-up to get our mind. The – firstly, is the KRG happy with that solution or do you think there is a preference for them to monetize, sell the gas, export the gas, that certainly seems to be a theme that that’s coming out. And just on that CapEx – 2022 CapEx, are you able just to give us a bit more detail into how that’s split between the activities that are going on in 2022?
Jon Harris: Okay. So are the county happy with the gas? Absolutely. I mean, as I said, we are tendering that. So we have to do that in line with the KRG approval. So they’re happy with us pursuing that as a solution very much I can. With 2022 expenditures, I think I gave a ran through a list of expenditures, actually during the presentation. And I’ll just draw your attention to. I mean, it includes both 85 to 90, includes drilling and completing of Shaikan 15. So that’s – we spent that money. We are actually planning a number of well interventions and workovers this year on existing wealth, that’s to assure production and potentially get a little bit of extra production from those wells. And we’re also constructing well pads and installing flow lines as preparation for a continuous drilling program ahead of the FDP. So that’s also a chunk of the 85 to 90. And we are also looking at expanding. The expansion of the production facilities at the moment, as I said, we were looking at – we’re tendering that as well. So it’s a relatively small proportion of the 85. So I hope that kind of gives you sufficient clarity around our expenses this year.
David Round: Yeah, that’s brilliant. Thank you very much.
Jon Harris: Thanks, David.
Operator:  We will take our next question from Nik Stefanou offer Renaissance Capital. Please go ahead.
Nikolas Stefanou: Hi, guys, it’s Nik from Ren Cap. Thank you for taking my questions and congrats on the strong numbers. I just want to go back to David’s question. So the idea then here would be that you will inject the gas, the sour gas, proceed out at the crest. And the hope is that it will create a gas cup. And is that the kind of like the overall thesis of a rejection plan?
Jon Harris: Yes. Simplistically, yes. What we’re going to do is, we’ll collect up the sour gas that we currently flare, and we’ll dry it, and we’ll compress it, and we’ll re inject it into the top of the reservoir as you’ve proposed. In terms of not creating a gas cap, we believe the gas cap already exists. The pressure, we’ve dropped the pressure somewhere around 350 psi since inception, and it was at the bubble point. So that means that there has to be a gas cap already exists and we’re going to put a new well into that to dispose of this sour gas.
Nikolas Stefanou: Okay, gotcha. And then if you go to the expansion phase, did I understand correctly that the 10,000 barrel range is effectively the uncertainty in the Triassic  production capacity at the Jurassic? And the kind of like, maybe typically 0 to 10,000 barrels per day for the Triassic, is that the case?
Jon Harris: I think there are two Triassic reservoirs. One of them is kind of well defined by our appraisal program that we did previously. And I’m relatively confident on that – the ability for that to produce with a similar range that we expect from our Jurassic. The deeper KCB reservoir is a little bit less defined, which is why it’s more of a test and there’s some uncertainty around that. So yeah, the range is majority around the Triassic performance, albeit, I’m expecting the KCB to be able to produce quite strongly.
Nikolas Stefanou: Okay. But then, I mean, since it’s the kind of liking in more of like an appraisal kind of like stage event. I was just wondering how much of that CapEx is kind of like allocated to the Triassic? And encase, productivity, so that’s what you would expect, then you could also reduce the CapEx would be the quite material and pressing, right?
Jon Harris: Sorry, so was your question around, Triassic like an appraisal. So yes, yes, it is. Absolutely. It’s a dynamic appraisal. We’ve got a lot of static data from the original wells that we drilled. And what we’ve got in there is the cost for that appraisal pilot, if we’re going to call that a test/pilot. I wasn’t quite sure about the last part of the question, though.
Nikolas Stefanou: Because it will effectively give a CapEx range that I will also presume is depend on the activity you do in the Triassic. which is against also factor of their appraisal results. And I’m just trying to get an idea of a what part of our CapEx is the Triassic in this case?
Jon Harris: Yeah. And so Nik, just maybe directionally, I would say, in line with the previous guidance. Triassic was smaller. What we’re trying to do is we’re trying to provide an overview and help people to dimension the FDP. And what we would like is just a bit of flexibility to be able to progress and finalize those discussions. And by all means, we will come back with those specifics. Once we have firmed them up and we have clarity, we will communicate that.
Nikolas Stefanou: Okay, understood. Okay, thank you.
Operator: At this time, we have not received any further telephone questions. I would like to now hand the conference back to Jon Harris for any additional or closing remarks.
Jon Harris: Thank you, Molly. Just like to thank everyone who has joined us this morning, I hope you find that useful. Were very kind of pleased and proud of our strong operational financial delivery for last year, and also the beginning of this year. And we see that we’re very excited as well around about the prospects for for Gulf Keystone going forward into the future and we’re expecting another strong year this year, and we’re hoping to come back shortly and tell you about the FDP approval. And it’s going into full development out of the oven to realize the potential of this field for all stakeholders’ benefits. So with that, again, I’d like to thank you again and close the conference there. Thank you very much.